Operator: Good afternoon, and welcome to the American Shared Hospital Services Second Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please note this event is being recorded. I would now like to turn the conference over to Stephanie Prince. Please go ahead.
Stephanie Prince: Thank you, Andrea, and thank you to everyone joining us today. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. Please note that various remarks that may be made on this conference call about future expectations, plans and prospects for the Company constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Company's filings with the SEC. This includes the Company's annual report on Form 10-K for the year ended December 31, 2020, the quarterly report on Form 10-Q for the quarter ended March 31, 2021, and the definitive proxy statement for the Annual Meeting of Shareholders that was held on June 25, 2021. The Company assumes no obligation to update the information contained in this conference call. I would now like to turn the call over to Ray Stachowiak, CEO of AMS. Ray?
Ray Stachowiak: Thank you, Stephanie. Good afternoon, everyone. Thanks for joining us today for our second quarter 2021 earnings conference call. I'll begin with some opening remarks and then Craig Tagawa, our President, COO and CFO, will go through the business and operational results. Alexis Wallace, our Chief Accounting Officer, will then provide a financial review. Following that, myself, Craig, Alexis and Ernie Bates, our Senior Vice President, Sales and Business Development and International operations, we'll open the call for your questions. AMS had a good second quarter compared to the deepest pandemic-impacted quarter of last year. Total revenue increased 12% year-over-year. Net income increased to $157,000 in the second quarter, after the net effect of the extinguishment of debt from $29,000 in this year's first quarter. This growth resulted from the revenue increase and decreases in depreciation expense, selling and administrative costs and interest expense. Craig and Alexis will go into the details in a few moments. Our operating results have improved from the actions we've taken over the last several quarters. This includes the year-end balance sheet restructuring and the debt refinancing that we completed in April 2021. As a reminder, on April 13, we announced the establishment of a banking relationship with Fifth Third Bank NA, the principal subsidiary of Fifth Third Bancorp, which is a diversified bank holding company headquartered in Cincinnati, Ohio with over $200 billion in assets. The $22 million credit agreement that we signed with them is a milestone in our company's history. It consists of three facilities, including two term loans that refinanced the bulk of our equipment gap and added to our working capital. We also signed for a $7 million revolving line of credit, which will be used to increase our flexibility in negotiating future projects. Combined with our current cash balance of $8.4 million and the positive cash flow we expect to generate in the second half of the year, AMS has a war chest for future projects of over $15 million. The refinancing had several other benefits as well, including immediately lowering our cost of capital and swinging to a positive working capital position. We significantly reduced our principal payments by an estimated $5.9 million over the next 12 months and we'll realize savings on interest expense and free up approximately $300,000 in previously restricted cash. These actions have changed the financial profile of the Company. It put AMS firmly on the path to reach sustained profitability. We now have substantial financial resources for future business opportunities, with our expanded radiation therapy equipment offerings. I'll now turn the call over to Craig for the second quarter operational review. Craig?
Craig Tagawa: Thank you, Ray, and good afternoon, everyone. In the second quarter, total revenue increased to $4,476,000, over 12% above last year, which was the most deeply pandemic-impacted quarter of the year. Second quarter revenue for the Company's proton therapy system installed at Orlando Health increased 10.6% compared to the second quarter of 2020. Higher average reimbursement perfexion offset a lower number of fractions, which continue to lag from the lingering impact of the pandemic. Total proton therapy fractions decreased 17.9% to 1,109 compared to 1,351. Gamma Knife revenue was strong, increasing 13% to $2.9 million. The increase can be attributed to higher volumes and higher average reimbursement per treatment at the Company's retail sites. Our Gamma Knife Centers in Peru and Ecuador, both contributed to the quarter's results as well. Gamma Knife procedures increased by 7.4% to 376 for the second quarter. Gamma Knife volumes for centers in operation increased 18.4% from Gamma Knife volumes for those same centers during the same period of the prior year. With the increase in revenue, the gross margin percentage snapped back to 35.9% of revenue in the second quarter compared to 22.7% of revenue for the second quarter last year. In dollars, gross margin increased 77% to $1.6 million. Contributing to the gross margin expansion was a decrease in depreciation and amortization by $393,000 or 24% to $1,244,000. The decrease was primarily due to the expiration of one contract in the fourth quarter of 2020 and another contract in the first quarter of 2021 as well as the absence of depreciation for the impaired equipment that was written off at year-end. In dollars, the decrease in depreciation and amortization more than offset smaller increases in maintenance and supplies and other direct operating costs. Selling and administrative costs also decreased, declining by 10% period-over-period primarily due to lower legal and other fees related to the GKCE acquisition that we closed last June. The improved revenue and decreased costs flowed through the income statement. Operating income reached $352,000 compared to an operating loss of $570,000 in the second quarter of 2020, a positive swing of $922,000. Net income was $157,000 or $0.03 per share, excluding the extinguishment of debt related to the prepayment penalties charged by our former lenders as a result of refinancing that Ray spoke about. The changes that we've made added to our cash balances, and we ended the second quarter with $8.4 million at June 30. During the first and second quarter of 2021, we completed two Cobalt-60 reloads. We have several other projects pending in our pipeline. The upgrade at Gamma Knife Center Ecuador is expected to be completed in late 2021 or early 2022. It will be one of the few Gamma Knife units in all the South America. We are also planning to Cobalt-60 reload in the fourth quarter based on a recently executed contract extension. We continue to have many discussions with potential clients for our expanded product line. With that, I'll now turn the call over to Alexis for a detailed financial discussion. Alexis?
Alexis Wallace: Thank you, Craig, and good afternoon, everyone. Before I begin my prepared remarks, I'd like to call your attention to our second quarter earnings press release that was issued earlier this morning. If you need a copy, it can be accessed on our website at ashs.com at Press Releases under the Investors tab. Now turning to our second quarter results. For the three months ended June 30, 2021, revenue increased 12.2% to $4,476,000 compared to revenue of $3,991,000 for the second quarter of 2020. Second quarter revenue for the Company's proton therapy system installed at Orlando Health in Florida increased 10.6% to $1.549 million compared to revenue for the second quarter of 2020 of $1.401 million. Total proton therapy fractions in the second quarter were 1,109, a decrease of 17.9% compared to 1,351 proton therapy fractions in the second quarter of 2020. Revenue for the Company's Gamma Knife operations increased 13% to $2.927 million for the second quarter of 2021 compared to $2.590 million for the second quarter of 2020. Gamma Knife procedures increased by 7.4% to 376 for the second quarter of 2021 from 350 in the same period of the prior year. Gross margin for the second quarter of 2021 increased 77.2% to $1.607 million or 35.9% of revenue, compared to gross margin of $907,000 or 22.7% of revenue for the second quarter of 2020. Selling and administrative costs decreased by 9.9% to $1.090 million for the 3-month period compared to $1.210 million for the same period in the prior year. Operating income for the second quarter of 2021 was $352,000 compared to an operating loss of $570,000 in the second quarter of 2020, a positive swing of $922,000. Net loss in the second quarter was $87,000 or $0.01 per diluted share compared to a net loss of $483,000 or $0.08 per diluted share for the second quarter of 2020. The net loss in the current period includes a pretax charge of $401,000 from the extinguishment of debt. Net income, excluding the net charge of $244,000 after minority interest and income taxes, was $157,000 or $0.03 per diluted share. Fully diluted weighted average common shares outstanding were $5.802 million and $677,000 for the second quarter and 2020, respectively. Adjusted EBITDA, a non-GAAP financial measure, was $1,829 million for the second quarter of 2021 compared to $1.430 million for the second quarter of 2020. On June 30, 2021, cash, cash equivalents and restricted cash was $8.437 million compared to $4.325 million at December 31, 2020. Shareholders' equity at June 30, 2021, was $23.714 million or $4.04 per outstanding share. This compares to shareholders' equity at December 31, 2020, of $23.650 million or $4.08 per outstanding share. This concludes the formal part of our presentation. Andrea, I would now like to turn the call back over to you for questions.
Operator:  And our first question comes from Lenny Dunn of Mutual Trust Company.
Lenny Dunn: Yes. And the Company is now turned around, but you still have that high overhead office space, which was -- I was hoping you'd be able to release by now. Has any progress been made on that?
Ray Stachowiak: Lenny, this is Ray. We continue to pursue those efforts, but we've not been successful thus far. As you probably are aware, the demand for office space has declined, and we've just not had any good fortune shining on us in our attempts to reduce our cost on that line item.
Lenny Dunn: And when does the lease run to?
Ray Stachowiak: I think it runs a couple more years. Craig, do you have that information handy?
Craig Tagawa: Yes. I believe it's a couple more years. And we do have it listed. But as Ray mentioned, we haven't been successful in some way near yet.
Lenny Dunn: Okay. And -- Have you had any leads on the new machinery that you're trying to release or release, I should say, because you've been attempting that now for about six months. I thought by now we would have a deal.
Ray Stachowiak: Lenny, I think I can confidently say that have we gotten any more leads and the answer to that question is definitively yes. But I'd probably be remiss if I expanded on that much further. We are having traction on these leads, and we're making our best efforts to pursue our strategic direction along those lines.
Lenny Dunn: Okay. And with the proton beams, which you've written off the two contracts that you had with Mevion, but you still have the ability to use them. Some of you know -- are you still pursuing the possibilities of getting placements there?
Ray Stachowiak: We definitely have that in our product bag and would be pursuing any opportunities along those lines. Those opportunities have been few and far between, especially these last 15, 16 months with the coronavirus going on, the number of hospital systems looking at that level of technology as I can pretty confidently say it's been significantly reduced because of that. But you're right, we do have that right to those deposits with Mevion, and we're looking to do so.
Lenny Dunn: Okay. Because that's clearly -- though it's a little more high end in installation, it's clearly the best treatments for the patients that are available. And I would think that the autistic values of the surgeons would get them to prevail a hospital to make an installation.
Ray Stachowiak: I agree with you, Lenny.
Lenny Dunn: And your book value is now conservatively a heir over $4,000. And when we trade normally, which is most days, the stock is substantially below that level. So the exposure here that is non-existent to investors. So are you doing anything to -- now that there's a potential for in-person road shows, trying to get involved in that.
Ray Stachowiak: Yes. I think there is that potential. We now have a much more positive outlook, at least in my view of the Company's fortunes. And if you look at our average daily trading volume, that has significantly picked up, we've gotten interest from some retail investors along the way. And if I had to summarize our second quarter results, I'd probably summarize it in a couple of simple concepts. First concept would be that if you take out the loss from the extinguishment of debt. We had net income of $157,000 in the second quarter compared to $29,000 first quarter. It might not be too many dollars all in all, but it's a trend in the right direction. And the second concept, I'd summarize our performance in our second quarter and where we're at as a company is $15 million. We ended our second quarter with $8.4 million in cash. We got a $7 million line of credit available for our use. There is no money outstanding on that $7 million line of credit. We've got over $15 million to invest, and that's what we're looking to do.
Lenny Dunn: Okay. Do you think that you would add anything to the portfolio as far as what you can sell?
Ray Stachowiak: I think we've expanded our product offerings pretty extensively but still continue to look at it as radiation therapy equipment. Equipment that emits radiation for treatment of cancer, I think that's a pretty good niche we're in.
Lenny Dunn: I think so too with more units outstanding to cover the overhead because an awful of the extra revenue would fall really to the bottom line.
Ray Stachowiak: Absolutely.
Lenny Dunn: Okay. Well, those are my questions. We're patient investors. But if you continue to keep improving in the quarters, I guess the share price eventually will take care of itself, but a little more exposure where I think would be good
Ray Stachowiak: Thank you, Lenny, close comments.
Operator:  This concludes the question-and-answer session. I would like to turn the conference back over to Ray Stachowiak for any closing remarks.
Ray Stachowiak: Thank you, Andrea. Thanks, everyone, for joining us today. We remain very confident about the future of American Shared Hospital Services. If you have any questions, feel free to contact us directly. Our third quarter conference call will be held in mid-November. Enjoy the rest of your summer, and please stay safe. Have a good rest of the evening. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.